Operator: Welcome to the Precipio Shareholder 2022 Fourth Quarter and Year-End Shareholder Update Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note that the conference is being recorded. Statements made during this call contain forward-looking statements about our business. You should not place undue reliance on forward-looking statements, as these statements are based upon our current expectations, forecasts and assumptions and are subject to significant risks and uncertainties. These statements may be identified by words such as may, will, should, could, expect, intend, plan, anticipate, believe, estimate, predict, potential, forecast, continue, or the negative of these terms or other words or terms of similar meaning.  Risks and uncertainties that could cause our actual results to differ materially from those set forth in any forward-looking statements include, but are not limited to the matters listed under risk factors in our annual report on Form 10-K for the year ended December 30, 2022, which is on file with the Securities and Exchange Commission as well as other risks details and our subsequent filings with the Securities and Exchange Commission. These reports are available at www.sec.gov. Statements and information, including forward-looking statements, speak only to the date they are provided, unless an earlier date is indicated. And we do not undertake any obligation to publicly update any statements or information, including forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law.  Now please let me hand the call over to Ilan Danieli, Precipio's CEO.
Ilan Danieli : Thank you, MJ, and good afternoon. Thank you for joining our call for this year-end’s earnings call. First of all, please accept my apologies for my voice because a little bit under the weather over the weekend and now I'm recovering, but my throat is lagging. So I'm going to try to make this call short and to the point. By now most of you have hopefully had an opportunity to glance at our 2022 annual filings. While we've shown some growth in our numbers with approximately 10% on the pathology side and 50% on the product side, it's obviously not what we were hoping for. Earlier this year, our team spent quite a bit of time conducting self-reflection sessions to understand and analyze the results and identify an action plan for what we need to do to achieve better results in 2023. I think the recent press releases have already shown us that we're on the right track. We believe that 2023 is going to be a very different year than 2022. And I'd like to share with you some of the reasons for this. Let me begin with the pathology business. As we closed 2022, pathology business still makes up the vast majority of our revenue while we build the product division. But the pathology business is also the core, the heart and soul of the vision of our company, which is to battle the problem of misdiagnosis. However, we didn't meet our goal.  As a result, changes have been made within the commercial team, which we expect will result in a significant improvement of those numbers. In fact, already has evident of initial evidence of that, we recently finished March with a record number of cases in the company's history and exceeded $1 million in cash collections in the same month. So we believe we're on the right track going forward.  Keep in mind that the goal for the pathology division is to serve as an engine for the development of future products. Therefore, rather than building a huge lab with each sales team and tremendous operation, we're focused on building a high-class boutique operation for our customers that is financially sustainable, while generating the patient samples we need in order to continue to develop our existing products, such as IV-Cell HemeScreen, as well as future products.  Lab breakeven number for financial sustainability is around $14 million. We ended 2022 with a run rate of about $9 million. By the end of Q2, with the addition of some major customers, we expect to exceed a run rate of $11 million, well on our way to meet our goal of financial cash flow breakeven for the pathology division. We've restructured the team and created a tiered incentive program that attractively rewards our high performers. Now let's walk through the product division. Last year, we established our product line with HemeScreen and went out to the market. We realized that penetrating labs particularly after COVID is not a simple task. Building a direct sales force is expensive, and Precipio takes time to see the fruits of that investment. Fortunately, in the middle of 2022, we were approached by ThermoFisher and subsequently find a pivotal distribution agreement with them to market HemeScreen.  For those of you who don't know who ThermoFisher is, I view them as the equivalent of Amazon for the laboratory world. There's virtually no laboratory in the U.S. or indeed anywhere in the world that doesn't buy products from ThermoFisher. They have a massive sales force with both the depth of expertise and the breadth of reach necessary to successfully access any lab that is a target for HemeScreen. The agreement with them we signed in Q3 and we officially launched in Q4 of last year. The launch included a formal training session with their leadership team, followed by an ongoing -- by ongoing work with their team to educate them on the benefits of HemeScreen, customer targeting, and market penetration. You may have seen that in January of this year, HemeScreen was recognized by the Fisher team and won the award for the Best New Product for 2023. As a result of our efforts, we've seen significant increase in the pipeline of prospective customers that are now engaging with us for the purchase and setup of HemeScreen. In relationship with ThermoFisher is in addition to another major healthcare distributor, which for the agreement with them, remains unnamed, but soon it'll be a formidable apartment to us and leveraging their sales force to introduce HemeScreen to their customer base. The combined power of these two sales forces equals over 250 reps and supporting staff that are very active to virtually every potential customer in the U.S. The benefit of this is Precipio now has access to this sales force, while the cost structure is a variable commission-based and therefore serves as a variable cost that is commensurate with the February entity [ph]. This makes sure a very attractive growth model. You've heard me say before that there's probably not enough money in the world that would enable us to build some competent sales force. And I'm grateful that we have the opportunity to work with the world-class organizations. I'm even more grateful that we have a structure that is scalable and financially attractive for both parties, making it a win-win. Moving to 2023. If I had to choose one word to describe the action goal for this year, that word is conversion. You've already begun to see this in recent press releases that began in December of 3Q, up showing you some of the deals that we've signed with the existing customers and their expected financial impact. Keep in mind that our customers become recurring revenue customers, which gives us two things. First, it provides us with an ongoing revenue stream and continues to come in as we grow the business. Second, it provides us with a high level of predictability into our operations, manufacturing, financials and cash needs going forward. The range of business within our field is a very attractive business to be in, and I'm sure you're well aware of other major players and their financial results. The initial customer penetration is showing us the HemeScreen is an attractive product that solves a real clinical operation and economic problem for the laboratory. And the initial adoption of this product seems very promising. The fact that major distributors have embraced this product is yet another market indicator of the power of this technology. What I'm trying to do is paint a picture for you the shareholder of what each customer means to our revenues and roadmaps breakeven. The nice thing about our business model is that as we scale up our HemeScreen revenues, there is virtually no incremental cost other than cost of goods. We need to hire no more sales reps, as we're leveraging the sales reps of our distributors. Our support team is in place that are set to handle significant customer growth. The good news, by the way, is that we've seen it, for the most part, once our customers are live, they require very little help from us do this simplicity of the technology. In addition, our manufacturing capabilities are currently well in excess of production of $30 million of product annually. So for the foreseeable future, we require no further investments on the manufacturing side to support the growth. All this translates into a very attractive model for the company, where a substantial percentage of the revenue impacts the bottom line, and can have a significant impact on our cash flow.  As of now, given our operating expenses for both divisions, our company projected at $8 million of product revenue alongside the $14 million for the pathology side, the business will reach breakeven. Our goal is to reach that number this year. And as you will see from our Q1 results, as well as the ongoing press releases, we are well on our way to achieving that goal. And all this happens because of one word, conversion. Management's entire focus is on taking our leaves introductions to the pipeline of customers and converted them into existing business into revenue into cash. This is a time where we begin to leverage our structure where our expenses are mostly fixed, Our margins are attractive and we have a strong distribution channel for each customer we onboard has a significant impact to the bottom line. So this is what you can expect to see from us this year, consistent, ongoing and accelerated conversion of this pipeline into accounts. Each of them serving as another building blocks of recurring revenue for the company. Lastly, I'd like to discuss cash flow and cash needs. As you know, we've been using the ATM facility as our periodical source to bring in capital as needed. In our analysis, this is the least diluted option, and given our situation is by far the best vehicle to finance the company. Any substantial capital raise would have to go through a process of filing the announcement that could prove very harmful for the share price. And so the ATM provides a nice, simple and inexpensive option that we will continue to use. For the foreseeable future, we don't have any plans to conduct any substantial capital raise. We believe that once we are cashflow positive and continue to grow into positive earnings company, then we'll be in a different situation entirely, both from a share price and market cap perspective. At that point, the opportunity to grow the business changed dramatically. But for now, we are hunkering down focusing on one action, conversion. I apologize, I know my voice doesn't sound that way, but I'm really excited to 2023. Last year, we didn't have a commercial team we have today, we didn't have the distribution partners that we have, we didn't have the marketing training and development elements that we now have ensuring these partnerships are successful and that our team and our product is well positioned in the marketplace. With a strong link in our back from Q1, I think you're going to be very happy with the upcoming results and with our continued building of our customer base. Lastly, I want to remind you that despite all the focus on a HemeScreen, our vision is not to be a single product company. HemeScreen is indeed our golden goose, and that's what's going to get us to the promised land of cash flow breakeven. So for now, we're all hands on HemeScreen development. But once we get there, we're going to unleash our talented R&D team to continue developing and bringing to market other products that have similar value and similar market opportunity, leveraging the engine that we've developed to bring these products to market in a low cost -- low and scalable cost. I look forward to connecting with you again after our Q1 results are out. By then we expect to have more news items that will demonstrate our continued growth and progress towards the financial goals for the company for 2023. Thank you and have a nice evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.